Operator: Good day, and welcome to the Pyxis Tankers' Conference Call to Discuss the Financial Results for the Fourth Quarter 2019. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and the accompanying presentation is available on Pyxis Tankers' website, which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Henry Williams, Chief Financial Officer. I’d now like to introduce Pyxis Tankers' Chief Executive Officer, Eddie Valentis. Gentlemen, you may begin.
Eddie Valentis: Thank you, operator. Welcome, everyone, and thank you for joining our call for the three months and year results ended December 31, 2019. I appreciate your time to share update, despite there’s some stronger global headwinds, and economic challenges facing all of us. Whilst we hope that we will soon overcome these temporary difficulties, our thoughts and wishes go to all affected by this terrible pandemic. Before starting, please let me draw your attention to some important legal notifications on Slide two that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to Slide 3, our operating results for the fourth quarter 2019 reflected substantial improvement over the comparable period of 2018. In Q4 '19, we generated time charter equivalent revenues of $6.2 million, a 39.5% increase over the same period in 2018. We had a net loss of $3.6 million, or $0.17 per share for the quarter ended December 31, 2019, slightly higher than the same period in 2018, which was primarily due to a non-cash loss of $2.8 million or $0.13 per share on the sale of our oldest vessel, the Pyxis Delta. Our adjusted EBITDA for Q4 '19 increased $1.7 million to $1.9 million.  The last part of 2019 reflected a period of steady improvement from a terrible 2018 and the high volatility of the first three quarters of 2019. Charter rates for medium range tankers increased into a very solid fourth quarter. At various times during the year, we decided to fix all 4 of our MRs and the standard time charters at higher rates and minimized various uncertainties surrounding the impact of the new IMO 2020 fuel regulations. We decided to take advantage of the stronger environment and sell our only non-eco MR in order to achieve a number of our strategic operating and financial goals. The vessel sale was announced in December and completed by mid-January 2020. The net proceeds were applied to de-lever our balance sheet, improve liquidity and better position us for growth. Further, we avoided operating this older higher consuming tanker, which would be less competitive moving forward and incurring the cost of a major upcoming special survey, including the vessels installation of the ballast water treatment system.  Our fleet currently consists of 5 tankers as shown on the Slide 4, two modern eco-efficient MRs, one eco-modified MR and 2 small tankers. As of March 13th, we had 6% of our remaining available fleet days for 2020 covered, exclusive of any extensions. The MRs have an average daily rate of approximately [16,400] per day, which is 1,200 per day higher than the 10-year average for one year time charters.  As you can see, our small tankers continue to operate in the spot market. We will continue to utilize our mixed chartering service in the near-term. Please note that three of our vessels are scheduled for special survey during the upcoming quarter.  Please turn to Slide 6 for a brief update on the product tanker market. A more detailed market overview is available at the back of our presentation, including updated sector data. First, let's review the fourth quarter 2019. Charter rates for MRs improved primarily as a result of seasonal demand and strong fundamentals. In addition to demand for winter heating oil in the Northern Hemisphere rate increased because of incremental cargoes for marine gasoil and new compliant low-sulphur fuel blends. Furthermore, a dramatically stronger crude tanker market caused a number of larger product tankers to switch to dirty cargoes, thereby reducing available capacity to carry clean products -- clean petroleum products, such as, gasoline and jet fuel.  More importantly, let's discuss the current quarter of 2020. Simply, COVID-19 has resulted in a global economic fallout which has increased the volatility and uncertainty in demand for refined petroleum products. In late January, spot rates for product tankers collapsed in Southeast Asia due to high inventories, the extended Lunar holidays in China and the ripple economic effect of the COVID-19 virus. However, recently, spot rates have substantially rebounded in Asia. The Atlantic Basin has been resilient despite warm winter weather and the delayed arrival of COVID-19 in the Western Hemisphere, impact of which is still to be determined. The period market for MRs has softened, which is typical at this time of year, due to refinery turnarounds and fears of lower demand. For example, the one year T/C for eco-MR has declined by approximately $1,200 per day to $17,200 per day since the first week of January.  I do think it is beneficial to point out some important points from the current environment. So, please go to Slide 7. We have seen lower bunker costs, tighter price spread between high and low sulphur fuel oil, evolving arbitrage opportunities and slower net vessel supply growth, primarily associated with delays in new build deliveries and dry-dockings, including scrubber installations.  We feel our modern eco fleet, our mixed chartering strategy and our stable and cost effective operating platform will be helpful during these uncertain times. Looking down the road, despite the interruption of COVID-19, we still believe in the long-term fundamentals in the product tanker sector.  Turning to Slide 8, historical demand growth for refined products -- petroleum products has been highly correlated to the global GDP growth. Greater worldwide consumption of petroleum products and ton-mile expansion from the changing refinery landscape will return. For example, U.S. exports of refined products have increased at an annual compounded rate of 10.6% over the last 10 years, a hefty portion of which is carried on MRs. The trend should continue as the U.S. is expanding its export capacity.  The MR order book continues to decline. And as of the end of February 2020, the order book was at 5.9%, out of a worldwide fleet of 1,739 vessels. Approximately 50 MR2s are scheduled for delivery over the next 10 months and new ordering activity has been very low. In 2019, only 49 MR2s were orders. We strongly believe that with the delays caused by the virus, phasing still yet, supply growth in 2020 should be lower. Moreover, demolitions should increase as 6.2% or 108 MRs of the global fleet is 20 years or older. Consequently, we believe net fleet growth for MRs should be less than 2% in 2020.  Turning to Slide 9. MR2 asset value has increased especially for younger acquisitioned tonnage, which are currently 14% above 10-year averages. Lower vessel operating costs and better fuel consumptions provide greater earnings power and make these tankers highly valued. There continues to be attractive opportunities to acquire secondhand tankers and participate in the long-term upward movement of charter rates. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudited results for the 3 months and year ended December 31, 2019 on Slide 11. Our time charter equivalent revenues for Q4 '19, which we define as voyage revenues minus voyage related costs and commissions, were $6.2 million, an increase of $1.8 million, or 39.5% for the same period in 2018 as a result of a better freight market, greater time charter activity and better fleet utilization. In Q4 '19, our daily TCE rate was approximately $12,400 across our fleet of 6 vessels with utilization of almost 91%. Results for the small tankers offset the strong results for our MRs. Turning to Slide 12, we incurred a net loss of $3.6 million for the 3 months ended December 31, 2019 or $0.17 basic and diluted loss per share, based upon 21.4 million weighted average shares outstanding compared to a net loss of $3.4 million or $0.16 basic diluted loss per share, based on a lower share count of 20.9 million shares for the same period in 2018. Good discipline in vessel operating costs, management fees and G&A expenses continued to be evident during the most recent quarter. As previously mentioned, in Q4 '19, we took a non-cash loss of $2.8 million or $0.13 per share on the sale of the Pyxis Delta, which contributed to a significant portion of the net loss. During Q4 '18, we took a non-cash charge of $700,000 or $0.04, due to the write-down of the carrying value of our 2 small tankers to the fair market values. Our adjusted EBITDA increased substantially from $200,000 in Q4 '18 to $1.9 million in the most recent quarter.  Please turn to Slide 13 to review our most recent fleet data by vessel -- fleet. Changes in these metrics related to a single vessel in one reporting period and had a disproportionate effect on the total fleet operating results. Focusing on the most recent quarter ended December 2019, we'd like to point out three key takeaways. The TCE for our four MRs averaged almost $14,500 per day. The average TCE for our small tankers improved to over $6,600 per day, but negatively affected our fleet-wide results. And finally, fleet-wide daily operating expenses were almost $6,000 a day for the quarter but were again very consistent year-over-year.  Turning to Slide 14, we believe it is important to review total daily operational costs to run and manage a public tanker company, including overhead. These costs vary by fleet composition and vessel delivery, company operating structure and management. We define total daily operational costs as vessel operating costs, technical and commercial management fees, plus G&A expenses. For competitive purposes, we believe that the total daily operational costs of our eco-MR2s continue to be competitive within the industry despite a small size.  Please turn to Slide 15 to review our capitalization as of December 31, 2019. During the year, we repaid $4.5 million of bank debt. At year-end, our consolidated leverage ratio was on par with other publicly traded tanker companies as net funded debt stood at 61% of total capitalization. No balloon payments are due for another 2.5 years, while 55% of our outstanding debt has floating interest rates tied to LIBOR.  Please note, with the sale the Delta in January 2020, we repaid an additional $5.7 million of bank debt.  With that, I'd like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis : Thanks, Henry. We are all seeing there’s various uncertainties, including a potential global recession. But we're optimistic that these headwinds will be short-lived. We believe in the long-term fundamentals of the product tanker sector, leading to improving charger rates, cash flows and assets values. Our cost effective operating platform, modern fleet and current mix of time charters on spot exposure should help us manage a potentially choppy environment in the short-term, and then position us to take advantage of opportunities to grow Pyxis and enhance shareholder value.  I thank you all for joining our call today. And look forward to reporting on further progress at Pyxis Tankers. Stay healthy and be safe.
Operator: That concludes the conference call today. Thank you for participating. You may all disconnect.
End of Q&A: